Operator: All participants thank you for standing by, the conference call is ready to begin. Good morning, ladies and gentlemen and welcome to the Canfor Corporation Fourth Quarter Results 2010 conference call. A recording of the call and the transcript will be available on Canfor's website. During this call, Canfor's Chief Financial Officer will be referring to a slide presentation that is available in the Investor Relations section of their website. Also, the company would like to point out that this call will include forward-looking statements. So please refer to the press release for the associated risks of such statements. I'll now like to turn the meeting over to Mr. Jim Shepard, President and CEO of Canfor Corporation. Please go ahead, Mr. Shepard.
Jim Shepard: Thank you, operator. Good morning everybody. Thank you for joining our teleconference call to discuss our company’s Fourth Quarter Results for 2010. Before we get into the results and stuffs, I want to give you some background to my announcement to return to retirement. As most of you know, I joined Canfor May 2007 as the Interim CEO. That was initially to be a temporary assignment until a permanent CEO was selected. However, the first days on the job showed that immediate action was needed to brace up against the plummeting wood product’s market. Driven mainly by the U.S. holding sector meltdown that was happening, that led to a commitment to stay on for a year and after a year when the market continued to plummet I committed to stay on until we had speared Canfor in the calmer waters. And now after four years, we are reporting a fourth consecutive quarter of profits. I believe that this management team has been hugely successfully in bringing Canfor through this recession in an extremely strong position compared to its competitors. Even with the incredible pressure on our cash, as we struggled to the lowest level of prices at a lifetime, we’ve managed to pay down our debt to where we’re now approaching a net zero debt position. This management intents focus on cost reduction, cash conservation, fine customer service, and expansion into Asia gave us the achievements that have delivered this exceptionally strong balance sheet. This strong balance sheet is now providing us with the ability to invest in the immediate modernization of our facilities to make an even more cost competitive and to be prepared for growth opportunities wherever they may occur [ph]. I wish the (inaudible) state how pleased I am with the selection of Don Kayne as my successor. Don’s long and successful development within Canfor is highlighted with him steering this company forward, our highly valued customers in the home center, and J grade and full dealer markets and the perfect growth, we’re getting in China is to a large extent due to Don’s leadership. Don’s impact on our penetrations into the China market is exemplified by his recent appointment by his peers in the industry to become the chair of the FII China Board which is supported by Canada and BC governments and the B.C. lumber industry. FII China is a government industry partnership that directs the strength of the B.C. lumber industry towards the best lumber market opportunities in China. Don is the right choice to lead that mission, just as he is the right choice to lead the future direction of Canfor. The fact that we can draw with him for our CEO position is a true indication of Canfor’s corporate strength. While Don is the right choice from within, he was not the only choice. Don is part of an exceptional executive team, (inaudible) is a true leader and in my opinion the best you can get in the field. In addition to Don, I’m joined on this teleconference’s with Tom Sitar our VP Finance and CFO. I would, I could go in for quite a while about Tom’s excellence in his field but I would be singing to the choir. We already know that Tom is an exceptional CFO. I should add that Tom is more, he is an exceptional businessman. He’s able to take his financial discipline and look beyond the numbers. He has a keen eye for the future and with his long in depth experience in our industry; he has very valuable input as we develop our strategy for the future. Another executive you know is Mark Feldinger, our VP Manufacturing. As you know him, in place of commentary during these teleconferences, Mark is a highly qualified manufacturing executive, but he is more than that. Even as the key executive charge with the awesome task of downsizing our production facilities as our markets fell off, he kept in sync with Don and our marketing team and made sure we minimized the impact of these changes of our customers. That, we have managed to maintain our strong relationship with our highly valued customers as we have been forced to harvest our way through the ecological devastation of the mountain pine beetle is a true testament to Mark’s leadership of our terrific manufacturing in problem [ph] streams. Our executive team also includes Rob Stewart Vice President, Human Resources. Rob’s leadership with the Corporation of United Steelworkers has provided agreements with all our hourly employees that will see them enjoying profit pay as our lumber markets recover. By the way, we have similar agreements with the PPWC and the CEP unions. This profit performance based pay package provides all our employees to a true alignment with our shareholders that we are very proud of the breakthrough thinking that made this possible by our management, by our unions, and by our hourly employees to them all I say, congratulations and now, to the comments on the quarter. The year ended with Canfor posting a profit of $55 million in the fourth quarter and a total profit for the year of a $161 million. There is no doubt that things have improved in the lumber business in the last year. Lumber prices for the quarter were higher than last year due to continuing and accelerating demand from China. I went on my seventh trip to China in October, that’s why I wasn’t able to participate in Canfor’s Third Quarter Conference call. Each trip revels that we are still just scratching the surface of this fast market. Even though an increasing – a percentage of our shipments are in construction grade lumber, we have captured only a very small fraction of the wood frame construction market. If everyone recognizes China’s fast growing wealth combined with relentless urbanization, it’s easy to project the significant use of lumber in single and multi-family units in the future. In 2011, we expect to ship the equivalent of modernized sawmill’s production to China. China’s increased acceptance of lumber as a viable building product is due to three main factors. First, the Chinese developed a concern for seismic safety following the Sichuan earthquake and have come to appreciate lumber as a safer construction material. Second, that country has a determination to be the environmental leader and consequently is interested in reducing its carbon footprint through wood frame construction. And finally lumber is now seen as an alternative to traditional building materials like steel and concrete. At the same time we are starting to see the very early signs of a U.S. recovery. Although likely prolonged, continuing household formations, lower unemployment, steady immigration, and housing starts near replacement levels indicate an inevitable and prolonged recovery. The cumulative fact of this will continue to support stronger pricing of lumber. With these factors at play, we have started investing in our operations. In 2010, we committed $85 million to strategic operations, $45 million of that was ear marked for rebuild of our Fort St. John operation. A result of this upgrade will be a large top tier mill located in a high quality fiber region. In December we announced plan to spend an additional $300 million in capital improvements over the next three years. $120 million of that will be spent in 2011 for improving the efficiency of strategic operations. By the way, all of our capital projects has been started up on time and have come in under budget. We have a sawmill in Vavenby, British Columbia that has been closed from the summer of 2009. Continuing our emphasis on the conversion of additional green timber to improve our output of prime grade lumber, on Friday we announced that we will be investing $24 million in this operation to improve its efficiency and cost recovery. We expect that Vavenby will be up and running by the end of the summer. This modernized mill will provide increased prime products for our key home center and offshore customers. In addition, we’re also committing capital to operate our Polar and Plateau operations in British Columbia. These investments are part of a continuation of our strategy to make take our key operations to do top tier. Looking forward, I’m cautiously optimistic. Although the U.S. housing market recovery will likely be slow drawn process, when combined with the increasing demand from Asian markets, and the increasing shrinkage of the timber basket available for SPF to ensure that we have a strong and sustained lumber pricing environment for the foreseeable future. Now, for more details on our financial results from the fourth quarter, I’d now like to turn the call over to Tom Sitar. Tom?
Tom Sitar: Thank you, Jim. My comments will be focused on our financial results and those items that affect comparability with our prior quarters and those factors that contributed significantly to our results. During my comments I will refer to our fourth quarter overview with slide presentations which is on our website. Also note that for ease of reference, I will refer to all dollar amounts rounded to the nearest million, except of course for the per share amount. Full details and amounts are shown in our news release. The fourth quarter equity shareholder net income which includes only 50.2% share of earnings from Canfor Pulp Limited Partnership with $31 million or $0.21 per share, this compares to a net income of $6 million or $0.04 per share for the third quarter of 2010 and a net loss of $17 million or $0.12 per share in the fourth quarter of 2009. On slide three of our presentation we have highlighted the current quarter’s non-operating items that affect comparability of results between the quarter and they are, A, gain of $7 million due to the effect of the translations of our U.S. dollar denominated debt, net of investments, as the Canadian dollar strengthened approximately $0.04 compared to the prior quarter end. A gain of $5.5 million related to a mark-to-market increase in the value of asset-backed commercial paper which has been written down in 2007. A gain of $5 million on the sale of assets of Howe Sound Pulp & Paper Limited Partnership, and a $1 million gain on derivative financial instruments, though the amount are small, we included for a consistency of adjustments between the quarters. After taking account of these items, the fourth quarter adjusted net income is $13 million or $0.09 per share compared to a similarly adjusted net income of $12 million or $0.08 per share for the third quarter of 2010. Turning to our operating performance, I’m now on slide four of our presentation. The company had total sales of $629 million which was $40 million higher than the prior quarter. This generated EBITDA of $79 million, an increase of $13 million from the prior quarter. If you remove the effect of inventory devaluations reflected in each quarter's result and the permanent closure Clear Lake, which reported in Q3, EBITDA in the fourth quarter was $79 million, a decrease of $2 million from the similarly adjusted $81 million of EBITDA in the third quarter of 2010. Looking at each of our business segments in turn, first lumber. On slide five of our online presentation, we show the history of U.S. housing SAARs and SPF lumber prices in Canadian dollars, when most American lumber market continued to reflect the struggling U.S. housing sector in the fourth quarter of 2010. As Jim had commented, China’s increase in consumption of B.C. softwood lumber continued in the quarter and helped to support a higher North American price particularly for the narrower dimension. The lumber segment had EBITDA of $22 million in the fourth quarter of 2010 compared to EBITDA of $5 million for the previous quarter. This result included an inventory evaluation recovery of $1 million in Q4 compared to a similar round Q3 and in addition, there was a onetime charge of $18 million related to the closure of Clear Lake in Q3, 2010. Bringing just these items out adjusted out EBITDA in the Q4 was $21 million, which represented a $1 million quarter-to-quarter decrease. Although, the benchmark to 2X4 prices for western SPF and southern yellow pine lumber increased during the quarter, these price increases were not matched by price movements across most other grades and widths. The benchmark pricing increases were also not reflective of the pricing in the offshore market. In addition, we produced and sold a lower proposition of prime products. As a result of these factors and the strength of the Canadian dollar, sales realizations were up only slightly from the prior quarter. Our lumber manufacturing costs were up from the previous quarter by about 4% in total reflecting higher log and conversion costs. Conversion costs were up in-part because of the lower production in the quarter due to downtime related to capital project in Fort St. John and Houston mills. I’m now turning to the pulp and paper segment which slide seven of our presentation. The fourth quarter results reported for the pulp and paper segment includes Canfor's Taylor pulp mill together with Canfor Pulp Limited Partnership. Fourth quarter EBITDA was $63 million and was down by $2 million compared to the third quarter of 2010, as lower market prices and stronger Canadian dollar resulted in lower sales realization. Details of results of Canfor Pulp Limited Partnership, of which we own 50.2%, were discussed in Canfor Pulp Income Fund’s news release and conference call earlier this week, but it is appropriate to say that Canfor Pulp had a record year in 2010 in terms of sales, EBITDA, and net income. In the fourth quarter, our capital expenditures were $47 million of which $28 million was in the lumber business and $19 million for Canfor Pulp. Our capital spending for the full year 2010 was $88 million on the lumber side. For 2011, we will be preceding with capital spending plan of $145 million for our lumber business of which $120 million will be for improvement projects to sawmill facility. And as Jim mentioned three projects were announced on Friday totaling $62 million for Vavenby, Polar, and Plateau. At the end of the quarter, Canfor excluding Canfor Pulp had cash of $196 million and unused lines of credits were approximately $376 million. Our net debts to total capitalization excluding Canfor Pulp was less than 1% and on a consolidated basis it was 3.3%. And now Jim I’d like to turn the call back to you.
Jim Shepard: Thank you Tom. Summing up our viewpoint of the future, we see the 2011 lumber markets to continue to strengthen which is to a large extent a requisition of China’s impact on lumber prices and the effect of the anticipated U.S. recovery in housing is yet to be felt. This is why we are comfortable and we are making these previously mentioned trample [ph] investments in our facilities to improve the competitiveness of our lumber operations. Operator I would now like to ask that we take questions from the telephone lines.
Operator: Thank you (Operator Instructions). Our first question is from Darrell Switzerloft from Raymond James. You may go ahead.
Darrell Switzerloft – Raymond James: Well thanks. Just like to start my questions with congratulations to Don King, on the CEO and also congratulations to Jim for leaving the company in such a good shape.
Jim Shepard: Thanks Darrel.
Darrell Switzerloft – Raymond James: Just two questions, first on – just a question about China, I know Canfor has been a pioneer in developing that market and I’d like to get your perspective Jim or others on the call about what the normalized shipment levels to China might be when we do see recovery in the U.S. housing market?
Jim Shepard: Well I think basically what it was down to is, we’re moving into a new world, as far as lumber is concerned. The old world was, we had a situation where we had a limitless supply of lumber in Canada serving a basically a finite market which was the United States and that was driven by the housing sector. And we became so overly dependent on the housing sector of United States that we used to look at housing starts as the barometer for the health of the lumber industry. Quite frankly, a field story of the mother of invention is necessity and quite looking back four or five years ago, we saw that we’re going to have to get beyond depending on the housing sector and that’s when Don really started to lead the charge to get to other markets, developing more of our markets in Japan and Korea, but specifically focusing on China. And China has really demonstrated that going forward the new world is not going to be a case of us serving the American market, it’s going to be serving the American market and the Chinese market and the Asian market, that will be a different dynamic. So that the normalized amounts of going in each direction, we’re not sure, I can tell you this much, we certainly are going to make sure that we maintain a reliable, sustainable supply of the prime products that we supply to our pro-dealer and our home center customers here in North America and that we make sure that our J grade customers in Japan are properly supplied, but quite honestly China is right now, we’re up to, 30% of our market is going into China and – who know it could be a little bit more than that going into the future.
Darrel; Switzerloft – Raymond James: Could you tell me a bit more about the demand for #2&Btr in China right now, just in terms of end-users.
Jim Shepard: Well quite honestly, the #2&Btr is up towards about 30% of what we’re shipping there, 35%. But we – and first look at the – the best grade – the primary application for construction grade lumber should not be used in China, but that’s not true. We’re just now scratching the surface, we’re – in fact we’re just going back over to China in a couple of months time to a green construction show, where we’re going to be constructing a three storey building right at the exhibition site in wood frame construction and it’s going to be really I think it’s going to be showcase at the – it works in the future for people that are interested in green construction in China and there’s a lot, that are. But up until now, the #2&Btr has been – a lot of it’s been still be used in forming for concrete.
Darrell Switzerloft – Raymond James: Last question was just relating to pricing in the Chinese market. Has there been any evolution of the contract pricing model that currently exists?
Don Kayne:
Darrell Switzerloft – Raymond James: Okay, thanks guys. I’ll turn it over.
Operator: Thank you. The next question is from Liliana Tzvetkova from Dundee Securities. You may go ahead.
Liliana Tzvetkova – Dundee Securities: Hi, good morning. Just looking from the results, I just have one question with regards to your stumpage fees in this quarter versus last quarter and in 2009. How much of your timber purchases have been classified as grade score lumber, and how did you work for the minimum stumpage rates and what to expect it is going to be going forward in 2011 and 2012?
Tom Sitar: Certainly, we don’t split out volumes by grade. But there has been a slight increase in stumpage costs quarter-to-quarter that hasn’t been dramatic point of state, but there is an increase.
Liliana Tzvetkova – Dundee Securities: Okay and going forward, expect stumpage rates to increased or have an idea right now?
Tom Sitar: I would expect on to gradually increase.
Liliana Tzvetkova – Dundee Securities: Okay, great. Thank you, very much.
Operator: Our next question is from Paul Quinn from RBC Capital Markets. You may go ahead.
Paul Quinn – RBC Capital Markets: Thanks very much, couple of questions. One on, you guys produced and sold lower product mix in Q4, just, I don’t understand whether that’s a one timer or is that one of the reasons why you’re bringing back (inaudible).
Don Kayne: Yes, partly, but certainly polished on. The biggest thing we saw this last quarter which – was bit of an irregularity for sure, there has been – some of those spread between pitch length and line and length published prices. And we’ve (inaudible) but that’s mostly the shorter length of that in a larger discount and that’s how it typically have been in the past and – because it has been so large, we have started to see that started to shrink. So we certainly think it is more of a onetime thing as things progress here over this year in 2011, we expect that to start to narrow again compared to what it was in the past. That does probably the biggest single impact that we saw in the quarter.
Paul Quinn – RBC Capital Markets: Okay, so in terms of that product mix, what is percentage of shorter length versus round?
Don Kayne: Well, just basically – its two things Paul, 2X6 versus 2X4 in which we had a pretty big discounts, you could even see today which is – it's kind of unusual and more importantly is the eight, 10, and 12 volumes that we saw this past quarter wherein a larger – quite larger discounted we had so, percentage wise, will probably would have been more (inaudible) I don’t know 25% or 30% something like that, so.
Paul Quinn – RBC Capital Markets: Okay, and then in terms of shipments it’s kind of its 26% in Q4 of total shipments or SPF shipments?
Don Kayne: Actually, as Jim mentioned, it’s actually marked at 30% to China in Q4 overall and about 8% to Japan and Korea.
Paul Quinn – RBC Capital Markets: Of SPF?
Don Kayne: Of SPF, yes.
Paul Quinn – RBC Capital Markets: So when you’re forecasting – and Jim mentioned of course on those production at China in 2011, is that about – is $800 million or is that a billion or?
Don Kayne: Approximately.
Paul Quinn – RBC Capital Markets: The former?
Don Kayne: That would be a bit [ph] estimate.
Paul Quinn – RBC Capital Markets: Okay and then just lastly, just on the softwood lumber agreement dispute here, it looks like it’s going to be a long drawn out event. What’s your expectation on sort of, I guess key timeline events going forward?
Jim Shepard: Well, that’s hard to tell. But there’s certainly drawn out, I don’t think that the timeframe for this one is going to be a matter of months it will probably be a matter of years. But it’s still remains – we’ve seen it, certainly it’s going to be I think settled in next year, that’s for sure.
Paul Quinn – RBC Capital Markets: Okay, great. Congratulations on your next retirement Jim and good luck in future Don.
Don Kayne: Yes, thanks very much Paul.
Jim Shepard: Thanks Paul.
Operator: Thank you, our next question is from John Kohler from Oppenheimer & Close. You may go ahead.
John Kohler – Oppenheimer & Close: Hi, good morning gentlemen. My question just relates to the product mix, if we can go back to that, I was wondering if you could help explain whether or not that’s channel inventory that’s causing the price discrepancy or perhaps maybe and this might be a little outlandish, but it’s money chasing futures contracts which would might secure the price a little bit?
Don King: Yes, this is Don, I mean I’m not sure how much of this has to do with the futures market at all, I think it’s just basically throughout the quarter, where it continues to be solid demand in China, which has had a positive impact on the price of timber for random lengths versus specified lengths. Overall and I mean if you just take a look at those spreads they are uncharacteristic than what we have seen in the past and we’ve seen this past quarter that the biggest spread between fixed length published price is around like published prices we’ve ever seen. So we are starting to see that now, start to diminish though for the quarter. We expect that over the next three to four months to – not to get back to even but certainly gain some ground back compared to randomized pricing.
John Kohler – Oppenheimer & Close: Okay, and from the cost side, rising costs are still, I mean it’s getting pretty rampant and you are still seeing those contained within your expectations.
Tom Sitar: I wouldn’t call them rampant, but we do have some escalations in cost and for instance call distances in terms of delivery of fiber and things like that. But, I see that as gradual escalation.
John Kohler – Oppenheimer & Close: Okay, I was thinking of fuel, actually primarily
Tom Sitar: Yes, fuel is part of that and some energy cost and some transportation costs are all going up. So it is on a number of different plants that is increasing.
Jim Shepard: We also had two major capital projects that impacted the fourth quarter, which we would expect to see a significant reversal on in Q1.
John Kohler – Oppenheimer & Close: Okay, great, thank you very much.
Operator: Thank you. (Operator Instructions). Your next question is from Pierre Lacroix from Desjardins Securities. You may go ahead.
David Rigg – Desjardins Securities: Good morning, this is actually David Rigg [ph] filling in for Pierre. I just had a quick question going through your other items. You noted a $2.5 million gain on sales and you were just going through and I couldn’t see it being reconciled in EBITDA, it is reconciled beneath the EBITDA line?
Tom Sitar: Well the items that we reconciled are major components that are in other income. We don’t, I’m not sure which item you referred to but we don’t tend to reconcile out any sort of small quarter-to-quarter movement, but I’m not sure which item you’re referring.
David Rigg – Desjardins Securities: It was a gain on sale of a noncore asset, so I imagine it’s (inaudible).
Tom Sitar: That was, had it been considered an adjustable item and that we have small sale components in other quarters, we really adjusted out major item.
David Rigg – Desjardins Securities: Okay, but that would be quoted in the EBITDA number.
Tom Sitar: That’s normally below the EBITDA and other income.
David Rigg – Desjardins Securities: Okay, and then just a follow-up on the panel of joint venture, we noticed in the past that you typically released some statistics just on shipment. But we couldn’t find there this time.
Tom Sitar: Well, we don’t indentify the panel business as a separate segment, so we don’t provide that much information and the details of it.
David Rigg – Desjardins Securities: Would you happen to know the shipments – even though you don’t quote them?
Tom Sitar: I don’t have it right with me and it’s probably easier to follow up on a call with us on that specifically.
David Rigg – Desjardins Securities: Okay, thank you very much. That was it.
Operator:
. :
Sean Steuart – TD Newcrest: Thanks. Good morning and congratulations everyone. Jim just a follow-up question on I guess the longer term dynamics in China. Can you speak to any progress you guys have seen in terms of building code changes there over the long run on a broad base?
Jim Shepard: Yes, we have. Don could give you more detail. We’ve definitely seen that, that’s been part of the thrust we’re going to be going back for our fourth – fifth edition now, led by Pat Bell and the real value we’ve had Bell’s presence on these missions and leading it is that you have to understand, the government officials are mostly speaking to other government officials and the higher he is up, the higher we can get up over there and perhaps the presence has enabled us to get into to see the key people in the Ministry of Housing who had to influence the codes and a matter of fact, there has been very significant changes to the codes for Shanghai. And so, Don if you want you can add more detail to that.
Don King: Basically (inaudible) I mean the progress has been exceptional in the last couple of years and we basically can build now both commercial or residential three, four stories and shorter and using exterior wood applications, interior walls, crosses, core systems whatever and we are actively doing that. There were several demonstration projects with the B.C. and the Federal governments have participated in. And going forward, on the building higher than four stories, infill walls, partition walls, all of that is of course for non-structural uses is able to be used. There is an awful lot of construction in China just in out alone. So for the most part, well there has been significant increase and improvements in the whole closed situation for the last two years, that the both B.C. and Federal governments we are working out as well.
Jim Shepard: Just, it’s difficult not to get over enthusiastic about the potential that China offers to the lumber industry out here in British Columbia. When you think about the urbanization in China is – involves the, the immigration of about 30 million people per year into the urban centers of the country and the housing of those 30 million which is pretty much the population of Canada is mostly going to be handled by either high rises or multifamily structures. In China, they have approved wood infill walls on those high rises that’s something we did not have here in North America. And if that moves ahead then quite frankly the appetite for our lumber is going to be immense.
Sean Steuart – TD Newcrest: Thank you very much, that’s great context.
Operator: Thank you. (Operator Instructions). There are no questions registered, I’d like turn the meeting back to Mr. Shepard.
Jim Shepard: Okay, thank you operator and thank you all for joining our conference to discuss our fourth quarter results. Your insightful questions show your continuing interest in Canfor and we do appreciate that. We’ll talk to you next quarter.
Operator: Thank you. The conference call has now concluded. Please disconnect your lines at this time, and we thank you for your participation.